Operator: Welcome to the Gold Royalty Corp. First Quarter 2025 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to David Garofalo, Chairman and CEO. Please go ahead.
David Garofalo: Thank you, Operator. Good morning, ladies and gentlemen, and thank you for participating in today’s call to review our first quarter 2025 results. Please note that for those not currently on the webcast, a presentation accompanying this conference call is available on the presentation page of our website. Some of the commentary on today’s call will include forward-looking statements, and I would direct everyone to review Slide 2 of the presentation, which includes important cautionary notes. Speaking alongside me today will be Andrew Gubbels, Chief Financial Officer; and Jackie Przybylowski, Vice President, Capital Markets. We are very excited about 2025 and believe the company is uniquely positioned for a transformative year. We are proud to report that this quarter we have achieved another record operating cash flow, and we expect to see a steady improvement over the coming quarters to the successful ramp-ups of the Côté, Vareš and Borborema mines. We look forward to continued momentum as production increases towards full nameplate run rates at these operations. We have also benefited from a positive gold price environment. Spot gold prices have reached record highs, recently exceeding $3,300 per ounce, and the fundamentals for gold continue to be supportive of strong gold prices in the near and medium term. At Gold Royalty, strong gold prices boost both our top and bottomline in what is an already exciting inflection year. As production and revenues grow, and as our scalable business model keeps G&A and other costs flat, we expect to report positive free cash flows later this year for the first time. Capital allocation continues to be an important strategic priority and will be even more important as we harvest cash through the year. Looking ahead, we maintain a clear focus on debt reduction while considering capital returns to shareholders and pursuing strategic growth opportunities when appropriate. With that, I’ll pass the call over to Andrew Gubbels to discuss the details of our first quarter results and our outlook on Slide #4.
Andrew Gubbels: Thank you, David, and good morning, everyone. We had strong financial performance during the quarter, with total revenue land agreement proceeds in interest of $3.6 million, translating to 1,249 gold equivalent ounces for the quarter. Additionally, this quarter, we set a record for positive operating cash flows of $2.5 million, representing an increase of over 180% compared to the previous quarter, as well as an adjusted EBITDA of $1.7 million, representing an increase of over 30% compared to the previous quarter. This is primarily due to the continued ramp-up of the Vareš and Côté Gold mines, an improved gold price environment, and lower G&A costs of $1.8 million during the quarter. Looking ahead, our 2025 and five-year outlooks are unchanged from the guidance that we provided with our Q4 results in March. Reduction in the first quarter equates to approximately 20% of the midpoint of our full year guidance range of 5,700 GEOs to 7,000 GEOs in 2025. We remain comfortable with our guidance, as we expect to see GEO growth during the year as the projects in our portfolio continue to ramp up and derisk. Looking ahead, beyond 2025, on Slide 5, we’re also excited to reiterate our inaugural five-year outlook. We forecast 23,000 gold equivalent ounces to 28,000 gold equivalent ounces by 2029, representing an over 360% increase from our 2024 GEOs and showcasing our significant growth potential. This longer-term outlook is derived from the assets already held in our portfolio and is based on the public forecasts, expected development timelines and other disclosures by the operators of the properties underlying our interests. We assume a gold price of $2,212 per ounce and a copper price of $4.24 per pound in developing our five-year outlook. Lastly, I’d like to emphasize that as this outlook materializes, we expect our operating cost structure to remain relatively stable. This will result in higher future operating margins and increase our cash reserves. As this transpires, we will continue to review our capital allocation alternatives, which includes paying down our revolving credit facility to reduce our interest costs and boost free cash flows. With that said, I will now pass the call to Jackie to discuss some recent portfolio updates in more detail.
Jackie Przybylowski: Thanks, Andrew. Turning to Slide 6, I’ll spend a few minutes discussing the ramp-up of the Vareš, Côté Gold and Borborema mines. Vareš mill output in Q1 2025 was 40,000 tons or 38% below budget due to several factors, including poor weather in January, now resolved. Delay in the start of the Veovaca tailings operation, now resolved. And tailings filtration cycle time issues, which are expected to be fully resolved by Q3. Adriatic Metals has already highlighted significant progress in April with key metrics hitting monthly records, including tons milled, metal produced on a silver equivalent basis and meters of mine development. The operator maintains its expectation to reach commercial production at Vareš in Q2 2025. Côté reported record throughput in March and achieved a monthly average throughput at 90% of nameplate mill capacity. The operator IAMGOLD expects further improvement with the installation of a second cone crusher later this year, which is expected to improve the reliability of the comminution circuit and de-bottleneck the dry side of the plant, offering the potential for further optimizations and improvements in the near future. The company maintains its 2025 production guidance of 360,000 ounces of gold to 400,000 ounces of gold on a 100% basis and continues to target achieving nameplate mill capacity of 36,000 tons per day by year-end. Aura Minerals continues startup activities at Borborema after the mine achieved first production in late March. Aura continues to expect to achieve commercial production in the third quarter and has maintained its 2025 guidance of 33,000 ounces of gold to 40,000 ounces of gold produced. Our attractive geographic exposure, premier operating partners and high-quality assets make for one of the highest quality portfolios in the sector. Gold Royalty’s diversified portfolio provides significant optionality to the extensive exploration work conducted by our operating partners. We’re seeing exciting progress towards project completion, expansion and development across the full spectrum of early to mature assets in our portfolio and we look forward to reviewing some of these opportunities in more detail at our upcoming June 12th Capital Markets Day. And with that, I’ll pass it over to David for closing remarks.
David Garofalo: Thanks, Jackie. There is indeed lots to get excited about as you look across our portfolio and the various high-quality assets ramping up and entering production. Now, despite our high-quality portfolio and the encouraging developments from our operating partners, we continue to trade at a discount relative to many peers on a price and net asset value basis. During this period, we have placed an emphasis on being disciplined as we continue to grow our portfolio. We have a strong degree of conviction with the quality of the portfolio we’ve built and we will continue to be patient as our peer-leading cash flow growth materializes. As we expect cash flow to increase in future quarters, we are confident this will be the catalyst for rerating back in line with peers. In the meantime, we will be patient. Paying down a revolving credit facility will be our priority use of capital. In closing, Gold Royalty is in a unique spot currently. We are not only excited for the near-term as we’ve mentioned, but over 2027, 2028 and 2029, we see a catalyst-rich portfolio with significant potential. An expected increase to production volumes greater than 360% over the span of five years is truly remarkable and speaks to the great quality of the assets and the people at Gold Royalty. Finally, I would like to remind everybody of our upcoming Capital Markets Day on June 12th in Toronto. In-person and virtual registration details are outlined on the Events Page of our website. Thanks for tuning in to the earnings call, and with that, I’d be happy to open up the call to Q&A. Over to you, operator.
Operator: [Operator Instructions] Our first question comes from Heiko Ihle with H.C. Wainwright. Please go ahead.
Heiko Ihle: Hello, David, Jackie, and team. Thanks for taking my questions. Hope you guys are doing well.
David Garofalo: Good morning.
Heiko Ihle: Hi. I think your full year guidance remains quite achievable going through all our models and given the ramp-up of the Vareš assets in the portfolio. That said, we’ll be halfway through Q2 next week. From what you’re seeing, where should we model ounces for the second quarter? And building on all of that, can you give maybe a little bit more granularity of how the second half of the year stacks up quarter by quarter?
David Garofalo: Jackie, over to you.
Jackie Przybylowski: Thanks, Heiko. Thanks, Dave. Yeah. So, production for Q1 represented about 20% of the midpoint of our full year guidance range, which is…
Heiko Ihle: Yeah.
Jackie Przybylowski: … 5.7 to 7,000 GEOs. That was on plan. We were expecting Q1 to be the lightest. We’re seeing Vareš, Côté and Borborema continuing to ramp up towards commercial production or full run rate through the year. And Q1, as I’m sure you know, is always impacted by some poor winter weather at certain assets earlier in the year. So, we are expecting steady improvement through the year. I’d say we don’t give guidance quarter-by-quarter, but we will see a bigger step change for Q2 versus Q1 as we get those assets ramping up to commercial production. We’ve already seen announcements by Adriatic, for example, that Vareš is running well in April and we’ve heard from IAMGOLD that Côté is running well. So, we are expecting a more significant step up in Q2. And then probably more incremental improvements in the second half of the year. So, cadence-wise, I’d say Q2 should be a reasonably good catch-up quarter for us.
Heiko Ihle: I think that’s a very fair answer and I appreciate the insights. On your longer-term outlook, which is obviously quite strong, where do you think the most variability could stem from? And building on that, where do you think we could see the most upside to what’s currently in our models based on drilling results that you’re seeing and just chit-chat that you have with the operators?
Jackie Przybylowski: So, we recently did a poll with some of the analysts that cover us. I think we are seeing more analysts now, including Vareš expansion, for example, in estimates. And the startup at REN, which is part of Nevada Goldmines and Barrick’s targeting, is full production there in 2027. So, we are seeing those being added to consensus estimates, which is great. I mean, that’s consistent with the operators’ guidance. I think where we’re still seeing variability is at Canadian Malarctic and Odyssey. Agnico Eagle talked a bit on its conference call about exploration work there and some new zones that they’re working on. East Gouldie is not -- is currently delineated, not in our coverage area, but it is trending towards our coverage area at depth. And the new Eclipse Zone is similarly not in our coverage area, but trending towards our coverage area at depth. So, I think there’s still a bit more uncertainty around year-by-year, our coverage at Odyssey. And I think the other opportunity where we’re still seeing potential upside is at Borborema. Aura reported its results earlier this week and talked about the highway relocation and mill expansion. And it does not look like we’re getting credit for that in analyst consensus estimates right now either. So, I think those are the two kind of upside or variability that we’re still seeing in the estimates longer term.
Heiko Ihle: Awesome. Thank you so much. I’ll get back to you. And by the way, I’ll see you in Toronto next month.
Jackie Przybylowski: Fantastic. We’re looking forward to hosting you for Capital Markets Day. Thanks, Heiko.
Operator: [Operator Instructions]
Jackie Przybylowski: Megan, we did have a question come through by email, if I can read that out, if that’s okay?
Operator: Yes.
Jackie Przybylowski: So, the question was, how has the market for new transactions changed in light of recent high gold prices?
David Garofalo: Well, we can ask Peter to stick handle that. Peter?
Jackie Przybylowski: Yes. Thank you.
Peter Behncke: Yeah.
David Garofalo: Peter Behncke, our Director of Corporate Development is also on the call to answer questions. Thank you.
Peter Behncke: Thanks, Dave. Thanks, Jackie. I’ll jump in there. In the current environment, we’re seeing more opportunities for new royalties on streams on earlier stage assets, pre-production assets. As these operators really aren’t benefiting from the current strong commodity price environment, equity markets are not showing love to those earlier stage, smaller cap mine developers. This contrasts really with our priority now, that emphasis on discipline as David, Andrew and Jackie emphasized during the call. Our focus is on being disciplined in our capital allocation strategy and looking for opportunistic ways to grow the portfolio. Our focus would be on acquiring cash flowing or near cash flowing royalties and streams. However, that market is increasingly competitive and we need to be disciplined with our own cost of capital relative to those competitive processes. So, we’ll maintain that discipline, focus on accretive deals, keeping dry powder, paying down our revolving credit facility and then looking for opportunistic opportunities as they arise.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
David Garofalo: Well, thank you very much everybody for attending. Looking forward to fielding your questions at Capital Markets Day on June 12th. But don’t hesitate to reach out to any one of us if you have any other questions. Thank you very much.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.